Executives: Paul Carpino Thorsten Gerhard Heins - Chief Executive Officer, President, Non-Independent Director, Member of Innovation Committee and Member of Strategic Planning Committee Brian Bidulka - Chief Financial Officer
Analysts: Richard Kramer - Arete Research Services LLP Todd Coupland - CIBC World Markets Inc., Research Division Simona Jankowski - Goldman Sachs Group Inc., Research Division Kulbinder Garcha - Crédit Suisse AG, Research Division Gus Papageorgiou - Scotiabank Global Banking and Markets, Research Division Jeffrey T. Kvaal - Barclays Capital, Research Division Amitabh Passi - UBS Investment Bank, Research Division Ehud A. Gelblum - Morgan Stanley, Research Division Timothy Long - BMO Capital Markets U.S. Shaw Wu - Sterne Agee & Leach Inc., Research Division Mark McKechnie - Evercore Partners Inc., Research Division Jim Suva - Citigroup Inc, Research Division Richard Tse - Cormark Securities Inc., Research Division Mark Sue - RBC Capital Markets, LLC, Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Research In Motion Second Quarter Fiscal 2013 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Thursday, September 27, 2012, at 5:00 p.m. Eastern. I would now like to turn the conference over to Mr. Paul Carpino, Vice President, Investor Relations. Please go ahead, sir.
Paul Carpino: Thank you, Luke. Welcome to RIM's Fiscal 2013 First (sic) [Second] Quarter Results Conference Call. With me on the call today are Thorsten Heins, our Chief Executive Officer; and Brian Bidulka, our Chief Financial Officer. After I read our cautionary note regarding forward-looking statements, Thorsten will provide a business and strategic update. Brian will then review the first (sic) [second] quarter results and our outlook. We will then open up the call for questions. This call is available to the general public via call-in number and via webcast in the Investor Relations section at rim.com. The webcast can be heard through your PlayBook or personal computer. A replay of the webcast will also be available on the rim.com website. We plan to wrap up the call around 6:00 p.m. Eastern this evening. [Operator Instructions] Some of the statements we will be making today constitute forward-looking statements within the meaning of the United States Private Securities Litigation Reform Act of 1995 and applicable Canadian securities laws. These include statements about our plans, strategies and objectives and the anticipated challenges and opportunities in the coming quarters; our expectations with respect to product shipments, revenue, gross margin, operating expenses, our anticipated operating loss in Q3, capital expenditures, ARPU, intangible asset purchases and our cash position; our product development and marketing initiatives and timing, including our expectations relating to the carrier lab entries and the launch of our BlackBerry 10 smartphone; plans and expectations relating to our CORE program and our strategic review; and other statements regarding our plans, objectives and expectations. We will indicate forward-looking statements by using words such as expect, plan, anticipate, estimate, may, will, should, forecast, intend, believe, continue and similar expressions. All forward-looking statements reflect our current views with respect to future events and are subject to risks and uncertainties in assumptions we have made. Many risk factors could cause our actual results, performance or achievements to be materially different from those expressed or implied by our forward-looking statements, including our ability to enhance our current products and develop new products and services; risks related to further delays in new product introductions; risks related to intense competition, both in North America and internationally; our reliance on carrier partners and distributors; our ability to maintain and grow our service revenue; risks relating to network disruptions and other business interruptions; security risks and risks related to the collection, storage, transmission, use and disclosure of personal information; our ability to maintain or increase our cash balance; our ability to implement and realize the benefits of our CORE program; our ability to retain and attract key personnel; our ability to maintain and enhance the BlackBerry brand; risks associated with our international operations; intellectual property risks; difficulties in forecasting financial results given the rapid technological changes, evolving industry standards, intense competition and short product life cycles that characterize our industry; and other factors set forth in the Risk Factors and MD&A sections in RIM's filings with the SEC and Canadian securities regulators. We base our forward-looking statements on information currently available to us, and we do not assume any obligations to update them except as required by law. I'll now turn the call over to Thorsten.
Thorsten Gerhard Heins: Thank you, Paul, and welcome, everybody, on the call. I will provide some comments on the second quarter but will let Brian provide more detail or commentary later in the call. I want to focus on the majority of my remarks on providing you with an update on our 3 main initiatives: the upcoming launch of BlackBerry 10; the CORE program; and finally, our strategic review. As we've been saying since the beginning of the fiscal year during the transition to BlackBerry 10, it is important that we maintain or grow our subscriber base, drive upgrades from BlackBerry 7 devices and maintain a strong cash position. While this transition is challenging and the competitive environment tough, we have made steady progress in these areas this quarter. Revenue grew 2% sequentially in the second quarter. The BlackBerry subscriber base grew again to approximately 80 million subscribers, a new milestone for the company. We're executing well on BlackBerry 7 upgrade programs and continue to see benefits from aggressively launching new BlackBerry 7 devices in markets such as South Africa, Saudi Arabia, the United Kingdom and Indonesia, as well as launching major upgrade programs in Canada, the United States and the United Kingdom. In some markets where churn is high, successful execution of BlackBerry 7 upgrade programs, particularly with the BlackBerry Bold product family, are helping rebuild customer expectations for what the BlackBerry experience means. As people move from BlackBerry 6 and older operating systems to new BlackBerry 7 devices, we are receiving very positive responses from users in terms of their personal and professional experience on a BlackBerry smartphone. On the cost side, our teams are demonstrating the discipline needed to help drive our turnaround, with costs coming down in key areas while we continue to invest in areas of future growth. Our teams are very focused on maintaining a strong financial position as we go through this transition, and that cash grew by almost $100 million this quarter to $2.3 billion, including the funding of restructuring costs. RIM continues to be a financially strong company, and we're executing and delivering on our commitments. Let me now update you on our 3 key initiatives, starting with the BlackBerry 10 launch, which remains on track for the first calendar quarter of 2013. The entire company is energized and excited for the upcoming launch of the first BlackBerry 10 phone, featuring the unique BlackBerry 10 experience. BlackBerry 10 platform will deliver what we believe is the most seamless and fluid experience in the mobile computing world today, where a BlackBerry 10 user can operate in real time all the time without having to exit applications. BlackBerry 10 devices will provide users with an integrated and seamless view of BlackBerry Hub, that allows users to naturally flow throughout the platform faster and easier with a touch of one finger, so no need for the in-out paradigm on the home button. As creators of BBM, one of the world's strongest and most loyal social networking platforms, consisting of approximately 60 million BBM users who sends billions of messages per year, we not only understand social networking, we embrace it. And we also embrace approximately 60 million BlackBerry users on Facebook each month. And our ongoing partnership with Facebook has brought free Facebook trials to key markets such as Indonesia, with others to follow. BlackBerry users will also be able to access Facebook messenger in App World. In addition, tens of millions of BlackBerry users connect to other social networking platforms through BlackBerry each month. We expect social networking to continue to grow and flourish in a BlackBerry 10 environment as BlackBerry 10 brings all of these conversations together in the BlackBerry Hub. With BlackBerry 10, we have elegantly woven together a mobile life by bringing together communications, the Internet, people and events, multimedia and social networks like Facebook, Twitter, LinkedIn, foursquare and even more to give users immediate access to the information they need and want. And then we are giving users the ability to take action on that information. No need to go in, out of multiple applications. The information you need is readily available wherever you are, readable, shareable and accessible. All aspects of the device: e-mail, social networking, HD video, cloud services, integrated calendars, personal apps, work apps and, of course, BBM, will only be a simple gesture away. At the heart of the BlackBerry user experience is a keyboard our customers can type on. The BlackBerry keyboard has always been the best in the industry. And with BlackBerry 10, it just keeps getting better. We've taken predictive text technology and wrapped it with an easy-to-use and truly insightful interface. BlackBerry 10 has the ability to detect typing habits and learn the user’s personal input styles. Well, obviously, we are excited that we are sharing our vision with carrier partners around the world who are also excited to see the capabilities of BlackBerry 10. For the past 3 weeks, and we are not done yet, the team and I have been meeting with dozens of carriers from more than 16 countries to show them the BlackBerry 10 platform and new smartphones, to give them a taste of the global integrated marketing campaign we have planned to support the launch of BlackBerry 10. It's actually been great to see people get so excited when they hold their first actual BlackBerry 10 smartphone in their hand, both touch and QWERTY versions, and to watch them explore the user interface on their own. They immediately understand the potential of BlackBerry 10 to provide a unique and differentiated user experience. We expect carrier lab entries to start next month. And it's not just that our carriers are getting excited, Enterprise customers are very interested, too. They see how BlackBerry 10, combined with BlackBerry Enterprise service 10 and BlackBerry Balance, allows them to take the business and mobile implementation to the next level. BlackBerry Balance separates personal content and corporate content, giving freedom to users but still protecting enterprises and allowing them to manage their asset and information. With BlackBerry Enterprise service, organizations will have one unified control view of their complete mobile infrastructure, so that an IT manager can have support and security for every device in their Enterprise, regardless of whether it's a BlackBerry or any other smartphone or tablet. Over the past several weeks, we have seen competitors launch new products in the marketplace with innovative technology and applications. These are strong products from great companies, but we believe the BlackBerry 10 platform will advance the operating system environment to a whole new level, one which gives developers and technology innovators an open environment to help create the next generation of mobile computing. We're now just a few months away from our launch, and our teams are working night and day to meet the expectations we have of ourselves and those that our loyal BlackBerry customers have of us. We've got an amazing team here at RIM, and I sincerely appreciate their commitment and their relentless dedication to delivering the best BlackBerry experience to our customers. There is a fighting spirit and passion here that inspires me every single day, and I'm very honored to be representing them as we move towards our launch. Next, let me briefly touch on the progress of the CORE program, where we are on track to achieve our target of realizing at least $1 billion in savings in fiscal 2013. As you know, this program is led by Brian who has assembled a dedicated team of senior executives and managers to review every aspect of the business to enable the company to invest more wisely, become more efficient and build a business culture that can drive financial performance for the new RIM. Brian will provide more details on the program, but let me say that I'm particularly pleased with the progress we have already made as we approach the halfway point of our fiscal year. And as you can appreciate, it is difficult for the company to go through some of the decisions we had to make, but these things are essential as the company completes the transition to BlackBerry 10. We are in the midst of building a leaner and stronger organization. And despite our current challenges, I am very satisfied that we're able to attract great talent, professionals who are dedicated, creative and passionate and excited to assist in the company's turnaround. Improving efficiency and driving organizational change are a big part of the CORE program. Kristian Tear, our new COO, Frank Boulben, our new CMO, and Steve Zipperstein, our new CLO, have settled in now and implementing significant changes that are empowering people to drive further change in the organization. So while we are executing on our internal targets for CORE program, we recognize our results in the second quarter are still well below where they need to be. And this is why we are committed to making difficult choices and necessary changes that we expect will permanently make this organization stronger. As we continue to roll out the CORE program, we anticipate being able to deliver additional operation and financial benefits in the coming quarters. The third major area I want to comment on is RIM's strategic review and what has been accomplished to date. For the past several months, I have met with CEOs at various organizations, and we have discussed a variety of topics related to partnership potential and potential licensing of BlackBerry 10, as well as other BlackBerry technologies. These have been very productive discussions for ourselves, as well as the organizations we have met with, allowing us to highlight the solutions we are bringing to the market and how we can collaborate to address the smartphone and mobile computing opportunity for their businesses and their customers. With approximately 80 million subscribers and upcoming launch of the new and unique mobile computing platform and unmatched reputation for security and growing support for BlackBerry 10 from carriers and developers, companies I meet with understand that RIM remains a strong, innovative and relevant player in the mobile computing world. I will be continuing to meet with potential partners and other organizations as we move towards the launch of BlackBerry 10. As you can appreciate, I won't provide details on any discussions at this point in time nor would we comment on rumors or speculation. I have not set a specific timeline for the completion of the process, however, I do want to be very clear that the board is taking this review very seriously and with the appropriate sense of timeliness needed at this point in our company's evolution. Now before I turn the call over to Brian, let me provide a few comments on our outlook. From an industry perspective, we continue to see a very aggressive environment in terms of pricing, and we expect this will continue on a global scale for the foreseeable future. We anticipate that the current CORE program can help offset some of these pressures, where price continues to play a major role in the smartphone market today. We also see an appetite for innovation from our customers where a new technology, new and open partnering opportunities are desired and even better solutions can be provided to the customer. In the coming months, our focus will be to continue to deliver steady, incremental progress in all these areas I have discussed. Implementing large change is very challenging for any company, particularly in an industry that moves at the pace of mobile computing. By delivering steady, consistent progress each quarter while completing our strategic review is the way we plan to deliver necessary change. We plan to be relentless in ensuring a successful launch of BlackBerry 10, delivering on the CORE initiative and continuing our strategic review. We believe that by achieving success in each of these 3 initiatives, value will be created for all of RIM's shareholders. Thank you very much. And I would now like to turn the call over to Brian for his commentary on the second quarter results.
Brian Bidulka: Thank you, Thorsten. Revenue for the second quarter of fiscal 2013 was $2.9 billion, a 2% increase from the first quarter. We saw sequential revenue growth based on a higher percentage of BlackBerry 7 devices being shipped in the quarter compared to the first quarter. Growth was also achieved despite a lower number of units being shipped in the second quarter. In Q2, we shipped 7.4 million smartphones compared to 7.8 million in the first quarter. Sales outside the United States, United Kingdom and Canada were approximately 58% of total revenue compared to 63% in Q1. Some of the larger markets comprising the other segment in the quarter included Indonesia, South Africa and Venezuela. In the U.S. markets, our sales were 22% of consolidated revenue compared to 25% in the first quarter. While BlackBerry 7 upgrade program is being well received by many of our customers, our business continues to be challenged and we expect this to be the case until the launch of our BlackBerry 10 smartphone. We saw sales growth in both Canada and the U.K. this quarter, with revenue in the U.K. representing approximately 12% of sales compared to 9% last quarter. This increase was driven primarily by the introduction of new BlackBerry 7 devices and aggressive upgrade programs. Revenue in Canada increased from the first quarter and represented 8% of sales. Estimated sell-through in the quarter was approximately 10.4 million units, including phone-only sales. Channel inventory is down on an absolute basis, however, the trends in certain markets are such that our partners are not carrying as much inventory and they're not replenishing their inventory at the same pace as they have historically. Sales of PlayBook were approximately 130,000 units compared to 300,000 in the first quarter. During the quarter, we sold 16-gig units and are continuing to sell our 32-gig and 64-gig units. As we approach the holiday selling season, we've been working with retailers on holiday plans in the U.K. and Canada and have seen an increase in orders from the channels to support these efforts. This is a good sign for us as we transition to our new 4G and 3G plus PlayBook tablets, which launched in Canada and Germany in the quarter, with other countries to follow in the coming months. Looking at our revenue mix. Hardware revenue was $1.7 billion or approximately 60% of revenue, up slightly from the first quarter. Service revenue was $1 billion and represented approximately 35% of revenue. On a dollar basis, this was unchanged from Q1, although we continue to see a trend from higher tier unlimited plans to prepaid and lower tiered plans, which resulted in lower ARPU. Software and other revenue represented 5% of consolidated revenue, up slightly from the first quarter. GAAP gross margin was approximately 26% in the quarter compared to gross margin of approximately 28% in Q1. Excluding pretax restructuring charges of approximately $68 million included in cost of sales, gross margin was approximately 28.4%, up slightly from the first quarter. GAAP operating expenses were $1.1 billion and included approximately $68 million pretax of CORE-related charge in selling, marketing and administration and R&D. Excluding CORE charges, adjusted operating expenses were approximately $1 billion this quarter, reflecting a $54 million sequential decrease. We have good initial improvements, and we will continue to see targeted operating expense reductions in the coming quarters through the execution of our CORE program. We reported a GAAP operating loss of $363 million in the second quarter. Excluding restructuring charges, we had an adjusted operating loss of $227 million. This compared to a GAAP operating loss in the first quarter of $643 million and an adjusted operating loss of $308 million. Reconciliation of our GAAP and adjusted results was included in the press release issued this afternoon. Our effective tax rate in the second quarter was 35% compared to 19% in the first quarter, which reflected a lower recovery due to nondeductible goodwill that was recorded in the first quarter. Excluding the CORE and Q1 goodwill impairment related charges, our effective tax rate was 37% in both Q1 and Q2. GAAP net loss for the second quarter of fiscal 2013 was $235 million or $0.45 per share diluted versus a GAAP net loss of $518 million or $0.99 per share in Q1. Excluding restructuring charges, we reported an adjusted net loss of $142 million or $0.27 per share diluted compared to an adjusted net loss of $192 million or $0.37 per share in the first quarter. Despite some of our top line challenges, we strengthened the balance sheet and generated free cash flow this quarter. We generated approximately $432 million in cash flow from operations in the quarter, driven by strong working capital management, particularly in inventory performance. Our CORE teams were very effective managing CapEx spending this quarter, where total expenditures were $87 million compared to $153 million in the first quarter. Reduction in CapEx reflects a more targeted investment approach in some areas such as R&D and manufacturing, as well as continued investment in network infrastructure, which remains a strategic priority for the company. In the next quarter, we expect CapEx to approximately $100 million. Intangible asset purchases, which consist primarily of prepaid license agreements, were $253 million compared to $284 million in the first quarter. Cash, cash equivalents and short and long-term investments in the second quarter increased by approximately $100 million from the first quarter to $2.3 billion, primarily driven by improvements in our cash conversion cycle, lower DSOs and reduced inventory balances. As Thorsten noted, we are very focused on maintaining a strong financial position during this transition. The company has also entered into a new secured $500 million credit facility, which expires in September 2013. Inventory was $785 million compared to $1 billion in the first quarter. The reduction was driven by higher inventory turns and improvements in our supply-chain processes. Let me now provide some additional updates on the CORE initiatives, which are being implemented across the company and are delivering significant improvements. To date, we have launched CORE-related actions that we expect will result in savings of approximately $800 million of the $1 billion we are targeting to save in fiscal 2013 based on Q4 fiscal 2012 run rates. Of these savings, approximately $350 million have already been realized in the first half of this fiscal year. Savings have been realized through improved marketing processes; simplification of organizational structures; reduction in discretionary spending; certain supply-chain initiatives, including direct sourcing, freight, manufacturing and repair services, as well as corporate IT and customer service optimization. Let me highlight a few areas. Manufacturing supply chain is one of the primary areas of focus for our CORE program. We've also made great progress in optimizing our global manufacturing footprint and are on track to deliver a more streamlined global assembly manufacturing footprint. Our plans include moving from 10 to 3 sites and implementing an in-region product fulfillment model in the Americas, EMEA and Asia Pac by the end of the calendar year. At present, our current footprint is comprised of 5 assembly sites and 2 product completion centers for product fulfillment. In Q1, we started a process to outsource our Global Repair Services, and we expect the transition to be complete in the fourth quarter of this fiscal year. This outsourcing has not only allowed us to reduce costs but has also allowed us to improve process and create new opportunities. For example, in partnership with our repair services partner, we launched RIM's first walk-in service center, allowing us to more directly manage the consumers return experience, resolve issues sooner and reduce cost. More of these service centers will be piloted in the coming months. We're also reengineering our spare parts processes, streamlining our quality organization to provide clear quality standards and accountability to generate additional savings and product improvements. We've also focused on reducing product cost to suppliers. Since reaching out to our direct suppliers at the beginning of the second quarter, we've seen a tremendous response from the majority of these partners, with significant moves to reduce costs. We're now beginning to see the benefits from indirect suppliers as we move to reduce the complexity in our procurement processes. In terms of headcount reduction, total net workforce reduction in the second quarter was approximately 2,000, including exits, attrition and net of new hires. At the end of the second quarter, our global head -- our total global headcount was approximately 14,500 full-time employees. In the current quarter, further headcount reductions have occurred, we have now completed approximately half of the 5,000 headcount reduction previously announced. We expect the majority of the remaining reductions to occur by the end of the fiscal year. Including the approximately $136 million in pretax restructuring costs incurred this quarter, the company still expects to incur total restructuring-related charges of approximately $350 million. With respect to our outlook for the coming quarter, we expect to continue to drive cost reductions over the coming quarters. However, as Thorsten mentioned, we are -- we also expect the next few quarters to continue to be very challenging. In the current environment, we plan to continue to drive sales of BlackBerry 7 handhelds through aggressive pricing initiatives on our handheld devices and monthly infrastructure access fees, which will result in lower ARPU and continued financial pressure on revenue and gross margin. As discussed earlier this year, these pricing initiatives are being implemented to maintain or grow our subscriber base. These factors could have an impact on revenue, unit volumes, gross margins and operating expenses. And as a result, we expect to report an operating loss in the third quarter of fiscal 2013. We expect continued pressure on our operating results for the remainder of the fiscal year based on these factors and current market dynamics. This outlook excludes any charges related to the CORE program. We expect cash should continue to remain stable in Q3, dependent on the timing of various restructuring charges. As demonstrated this quarter, maintaining the company's financial strength continues to be a strategic imperative for the company through the transition to BlackBerry 10. That concludes our call, and I will now ask the operator to start taking questions.
Operator: [Operator Instructions] And your first question today comes from the line of Richard Kramer of Arete.
Richard Kramer - Arete Research Services LLP: Thorsten, you got a big installed base around the world, with entry-level devices out there. Can you lay out for us how quickly it's realistic to expect BlackBerry 10 to address the low-end of the market where I assume it's the bulk of your 80 million subscribers? Or are you going to introduce another wave of BlackBerry 7 devices for those customers? And also maybe, Brian, could you shed a bit of light on the comments about impact from pressures by customers to reduce RIM's monthly infrastructure access fees? And maybe give us an update on the status of negotiations around those fees given that it's expected BB10 won't use the RIM NOCs in the same way as BB7 does.
Thorsten Gerhard Heins: To answer your question, Richard, so as far as the installed base is concerned, we always have a product mix in those markets, ranging from high- to entry-level. And we just have introduced 2 new products in the entry-level, the 9220 and 9320, which actually get some pretty good feedback. BlackBerry 10 will proliferate into the mid-tier, probably by fall this year, and we're working on a concept for an entry-level. However, we feel very strong about BlackBerry 7 in that segment. So you might see, actually, even a new product based on BlackBerry 10 in the entry-level coming out in the next year.
Brian Bidulka: Yes, sure. And the question on the infrastructure charges. So certainly, we're seeing a lot of the -- some of our subscribers moving from the higher tier unlimited plans into the lower tier plans, and that is having an impact on our ARPU like we -- like I mentioned in the remarks.
Operator: Your next question comes from the line of Todd Coupland of CIBC.
Todd Coupland - CIBC World Markets Inc., Research Division: I was wondering if you could give us an idea of the 80 million subscribers that you have. What's your sense on how much of that can upgrade to BB10 in the first few quarters following the launch?
Thorsten Gerhard Heins: Thanks for the question, Todd. I don't have the exact quantitative data. But for sure, there is certain audiences that we target with BlackBerry 10 when we launched it. Certainly, the ones that are up for a contract renewal that kind of fit in this price spend and in this segment of BlackBerry 10. Second, we believe that the strength of the BlackBerry 10 product, we actually can also win market share back from other competitors. Third, don't forget that the market today is at 30% of smartphone penetration on average. So we are pretty confident that if you think about the people moving from feature phones to smartphones, then we can also catch a significant share of these because we are really providing with BlackBerry 10 a whole new user experience. And that's why we run a big global marketing campaign driven by Frank Boulben, our new CMO, to really have a global launch and actually go after these 3 segments in parallel in a global launch procedure.
Operator: Your next question comes from the line of Simona Jankowski of Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Yes, you're ASPs were up nicely. And it sounds like a lot of that was due to the mix shift to BlackBerry 7. Can you give us some sense of what percent of shipments were BlackBerry 7 in the quarter and where that might go in the next quarter?
Thorsten Gerhard Heins: I don't have the exact data, but my understanding is that most of the devices we were shipping are BlackBerry 7 devices because we have introduced that portfolio a while ago, and we have introduced new products like the 9220, 9320. What actually happened, Simona, was that we got quite some good feedback on the 9900 on the Bold, and we get quite some positive impact on Bold numbers. So if you look at the ASP, that was specifically the reason that we were able to shift the portfolio to actually higher ASP and higher-margin devices. That helped the quarter a lot.
Operator: Your next question comes from the line of Kulbinder Garcha of Credit Suisse.
Kulbinder Garcha - Crédit Suisse AG, Research Division: Just one for Thorsten and one for Brian. Thorsten, on your side, can you just talk a little about the BlackBerry 10 launch? Is it going to be -- it sounds like it's a global launch with many carriers, many countries, or do you have to come exclusive? I'm just wondering the challenges you guys have now with your volumes being relatively lower than few years ago and looking in decent shelf space, and just the intent as to how quickly can you ramp this up to be a global portfolio throughout the next fiscal year? Any kind of ideas around that would be interesting. And then, Brian, just on the OpEx side, I just want to clarify, you said of the $1 billion program that you guys have laid out on the cost side, the $350 million, let's say, of the savings have already affected your OpEx or your cost structure, and the $650 million more to come on a run rate basis over the next few quarters, is that what you're trying to tell us? I just want to clarify that.
Brian Bidulka: Yes, that's correct. We've realized $350 million not just on the OpEx line but in our whole cost structure. And we're targeting to achieve a $1 billion target for the entire fiscal year. And that's right across the entire cost structure.
Thorsten Gerhard Heins: Okay. And on the launch question, Kulb, yes, it's going to be a global launch and we've been on a worldwide tour talking to our carrier partners. We have by now reached 40 partners, I think, in 16 countries. We get very, very exciting feedback on BlackBerry 10. And what I hear is we're not talking in any way about specs, hardware specs, of the product. But the most exciting thing really is the new user paradigm, the BlackBerry Hub and the BlackBerry Flow that everybody really, really gets excited about. So I think given that feedback, that we will be absolutely capable of running a global launch. Our internal resources are set up in a way that we can cover that, that we can actually really manage that and execute against it. And I really have to say that I'm specifically satisfied with the strong feedback we're getting from our carrier channels worldwide. Now as far as the portfolio is concerned, BlackBerry 10 is a new platform. It's not just a new product, but it's a whole new platform. And for sure, you will see additional product coming into the market in next fiscal year -- excuse me, in the next calendar year, 2013. I can't go anymore into detail right now. But for sure, we are planning to build a very competitive portfolio. But make no mistake, as I said in the response to Richard's question, BlackBerry 7 is a very strong smartphone OS and we intend to support it for some time to come and also make sure that we have a really competitive, attractive, entry-level proposition based on BlackBerry 7.
Operator: Your next question comes from the line of Gus Papageorgiou of Scotiabank.
Gus Papageorgiou - Scotiabank Global Banking and Markets, Research Division: My question is -- I just want to focus on the enterprise for a second. As you guys launched BlackBerry 10, you're going to have to launch a new version of your -- of the BES. And it looks like enterprises are going to have to run 2 versions of the BES, the old BES to handle BlackBerry 7 devices and earlier and then BlackBerry 10. I'm just kind of concerned here that another one that might cost enterprises to delay adapting BlackBerry 10 devices as they have to test the new service software or even worse, that they might consider other middle-ware platforms. So I'm just wondering, what are you doing to try to manage that evolution from your existing BES to BES 10? And then if you allow me, Brian, you've been shipping -- your sell-through has been quite a bit above your sell-in for some time now. When do you think those 2 will start to more closely align?
Thorsten Gerhard Heins: Okay. Thanks, Gus. Let me answer the BES question. So first and foremost, what's really important is that you have a unique, integrated console view across your entire mobile infrastructure and in enterprise. This is exactly what BES 10 will do for you. Not just BlackBerry BES, we'll go across platform and it will be able to manage other smartphones and tablets as much. That's the key. Now the service structure underneath is going to be integrated. We're going to unify the service underneath. This is part of the BlackBerry enterprise services 10 roadmap. So you will see a unified architecture under BES 10, managing all BlackBerry devices and, on top of that, all other devices as well.
Brian Bidulka: And just on -- it's Brian, Gus, in terms of that question on the sell-in versus sell-through. The delta between that sell-in and sell-through has been narrowing over recent quarters, and we continue to see that happening. But again, based on the replenishment rates we're seeing with certain of our partners, it is having an impact on the restocking. So we'll continue to see that. But we have seen it coming down in the most recent quarters.
Operator: Your next question comes from the line of Jeff Kvaal of Barclays.
Jeffrey T. Kvaal - Barclays Capital, Research Division: Brian, I was wondering if you could comment a little bit more about your ARPU question. It sounded as though your ARPU is expected to come down over the next quarter. You suggested that, that was because of mix. Is the ARPU coming down on just regular pricing pressure there? And then to follow up on a prior question, to what extent in the BlackBerry 10 system will the NOC architecture be able to command some pricing?
Brian Bidulka: Sure. So on the ARPU question, I had mentioned that we've been -- and we are seeing some churn in some of the -- certain of the subscribers. So we are seeing a move to the lower-tiered plans, and that's having the biggest impact on our ARPU base -- our ARPU number. But the other point would be that, as we're driving that to sell-in, we are looking at ways to work with the carrier partners to get different types of -- or get our products in different tier plans. And I think that's what we're trying to drive that adoption, and that's also having an impact on the ARPU.
Thorsten Gerhard Heins: Okay, on the NOC architecture question, Jeff, we have actually adopted our business model and we have changed -- we have communicated this with our carrier channels and also in CIOs. And actually, what you see is that this market is segmenting into different levels of security and manageability of devices. And we've always been the premium security solution, and we absolutely intend to maintain this base on the NOC architecture and the services that we provide. And we are actually, I think, having a great innovation at our anci [ph] with BlackBerry Balance. The personal and the corporate perimeter on BlackBerry 10, totally secure, totally separated that. It's just something CIOs, corporations and the consumers love. Those consumers want privacy and corporations want security. That allows us now to actually not just be in the premium segment market. We will be also addressing, let's say, the mid-tier security market, which allows us to tap into a wider market segment in the corporation. So we're very enthusiastic about it. And we're looking forward to get this out of the door.
Operator: Your next question will come from the line of Amitabh Passi of UBS.
Amitabh Passi - UBS Investment Bank, Research Division: I had a question for Thorsten and one for Brian. Thorsten, just for you, curious on an increasingly BYOD paradigm. How do you sort of specifically target consumers and excite them and energize them about your BB10 devices? And then Brian, I just wanted to get a sense of how we should think about marketing expenses and working capital ahead of your BB10 launch?
Thorsten Gerhard Heins: Well, on the BYOD, I think we have a really exciting offering with the full-touch device and a QWERTY device, so we provide both choices to the consumer. Needless to say that in like browsing multimedia, entertainment, all of these is table spec, actually the device that you would see coming out is leading an HTML 5 browsing speed today, unmatched in the industry, even unmatched by desktop computers. So I think there will be a lot of elements in BlackBerry 10 devices that will excite the consumer. By the way, and just for the record, the display that we are having in our full-touch device is actually beyond what iPhone 5 just has launched. So it's true HD, which I think really talks to the strength of the device in multimedia and in video and in other elements. And we fully understand that building an attractive BYOD device, we need this in order to attract the consumer in the enterprise, and that's the strategy that we're pursuing. And I'm very, very confident with these product and the capabilities of these products, will be able to convince and what the first user studies shows, yes, we are able to convince them.
Brian Bidulka: And on the question on the working cap, we will see an impact as we build out our product in our Q4. And as we mentioned with our CORE program, we're really focused on working cap management and trying to identify ways that we can improve our working capital management, leading up to the launch of our product and beyond. And also, through core as well, looking at how we can actually drive further savings such that we're able to really focus on the global marketing launch that Frank and the team have in place. So I think as we work through Q3, Q4, it's really a focus on ensuring that we've maintained that financial liquidity that I mentioned and really targeting on our cash position and focusing on that as we work through the transition.
Operator: Your next question will come from Ehud Gelblum, of Morgan Stanley.
Ehud A. Gelblum - Morgan Stanley, Research Division: A couple of things. This came up last quarter as well, and it seems to be the numbers this quarter, too. And if you can just, Brian, just go through some of this so we understand it a little better. But when we take the services revenue and apply some sort of a margin that seems to be comparable to what that services revenue probably has a gross margin of, I'm assuming it's in the 80% to 90% range. We end up with a -- just a gross profit number for the devices that is negative. And this came up again last quarter as well. And I thought it was due to one-timers, but it still seems like we're dealing with an area where the devices business is negative gross margin. Is that true? And if it is, why did that persist? Are we actually selling below cost or are there some other funky accounting things in there that kind of -- or making that appear. And if so, what is the real gross margin of that -- in that device business? Thorsten, you said something interesting about BlackBerry 7 selling very well into a previous question, and that the 9900 doing well. Did I -- am I right to infer that therefore BlackBerry 7 is a high majority, even if you don't have the percentage of units of the 7.4 million? Is it a high majority close to that, is it well over 50% of the units if -- just want to make sure I've heard it correctly. So BB 6 is essentially out of the picture right now?
Brian Bidulka: Yes, yes, absolutely. So I think it's fair to assume that -- I can give you a number, but I would say 99.99% is BlackBerry 7. No, we have fully transitioned from BlackBerry 6 to BlackBerry 7. The BlackBerry 6 sales that you still see is repaired devices, is refurbishing devices. So all new devices that go out there into the market are BlackBerry 7. And that's where the portfolio mix is helping us with a strong offer on the entry-level of 9220, 9320. But also, we are very successful at the moment with the 9900. And also what we always called the little brother, the 9790, which is small, narrow Bold, which gets quite an attraction in Asia Pac and in Europe.
Brian Bidulka: And just on the split, we don't give the details on handheld and service. But if we talk about the sell-in pressure and the pricing promotions that we're doing to drive sales, and I think part of it has to do with the mix on BB7 and BB6. So as we are selling those products, certainly with the BB 6 products with pricing pressure even BB -- certain of the BB7 products there, longer in their life cycle that we are seeing that pressure on the handset business. But obviously, we are looking at how do we maintain that subscriber base. And that's one of the key focuses that we have. And in order to help -- also support that service business.
Thorsten Gerhard Heins: And to the first part of your question, we've talked about it in our statement that we are actually running pretty aggressive upgrade program from BlackBerry 6, BlackBerry 5, and enterprise to BlackBerry 7. And we have seen quite a good uptick there as well.
Operator: Your next question comes from the line of Tim Long of Bank of Montréal.
Timothy Long - BMO Capital Markets U.S.: Just 2, if I could. First, just to clarify, you talked about the ARPU pressures. But it didn't seemed like it was down that much in this past quarter. So was there anything in there that kind of helped on the positive side to offset some of the pressure that you talked about? Number one. And then secondly, could you talk about the outage last week? What happened? Is this related to the -- something similar to the outage that we saw last year? Is this something that it will put further pressure on your ARPU? And related to that, the CapEx has come down a lot. So will carriers start to get concerned that with less spending on the architecture, we're going to see more of these outages and therefore more pressure on ARPU? So if you could just put that in context for us, that would be great.
Thorsten Gerhard Heins: So let me discuss the service quality issue that we had, first. I mean, that was not an outage. I think we've got to be really clear with the words here. We had an issue with our service delivery capabilities. So no messages got lost. It took a while to get the messages to the recipients. And by the way, we still are above the SLA requirements that we have with our carrier partners. However, we have the inspiration of delivering the best service to our users. We take this very serious. And we want this to be 100%. But the affected user base was actually 4.6 million max out of the 80 million. It was originally very contained. It has by far, by far, not the amount of impact that what we went through in the last quarter. Actually, the actions that we took last year in order to make sure that we have procedures in place to contain this way better, have helped us to contain this to just 6% of the subscriber base. And again, we are still investing in the network. We are not saving CapEx here. We are committed to a high level, high degree of service. We want to achieve the highest standards for our customers and for RIM.
Brian Bidulka: And Tim, it's Brian. Just on the ARPU pressure point, the one favorability that you need to factor in is the actual increase in the subbase quarter-on-quarter, which has a positive impact, which would have helped on the ARPU side.
Operator: Your next question will come from the line of Shaw Wu of Sterne Agee.
Shaw Wu - Sterne Agee & Leach Inc., Research Division: Just a quick question on the balance sheet. I noticed like this quarter, you were able to convert quite a bit of the receivables, and that helped your cash balance. And then you're able to do that also last quarter. Any color on what changed there? Why are -- why were you able to do that?
Brian Bidulka: Sure, it's probably 2 things I'd say. One is just level loading in the last 2 quarters in terms of our shipments, which has helped in the subsequent quarters on the collection cycle. And the other point I'd say is just on the geographic mix of revenues, which can have an impact on timing, just given the different collection cycles there.
Shaw Wu - Sterne Agee & Leach Inc., Research Division: Okay. I'm sorry, and just to follow-up, I don't know, maybe this is for Thorsten. Any thoughts on like a level of revenue you need to do to get back to breakeven in terms of a plan? Any color you can share there, the profitability?
Thorsten Gerhard Heins: We have our plans that we're executing against while we transition to the BlackBerry 10. And the company is fully focused on getting that done. And we're focused on delivery, executing against our plan and to deliver against our commitments.
Operator: Your next question will come from the line of Mark McKechnie of Evercore Partners.
Mark McKechnie - Evercore Partners Inc., Research Division: So I wanted to ask a bit more clarity on your November guidance, whatever you can give us, specifically you said you're expecting a loss. But would you expect it to be a higher loss or lower loss? What are you thinking on net cash? And then also, on the units, would you actually expect your overall units up sequentially? And on the unit side, I guess you did sell-through -- or it sounded like the sell-through was about 10.4 million. So there was clearly some channel inventory burn. I mean, would you expect some more channel inventory burn this quarter or would you kind of expect a onetime uptick in November here?
Thorsten Gerhard Heins: So on the November guidance, Mark, from -- I'll let Brian comment on some of the financial perspective. But we know there's quite some launches coming in, right? We're approaching the holiday quarter. So I think there's many new product coming in. So the market is going to get tougher and even more challenging with the new products hitting the market. So we expect to be competitive with the BlackBerry 7 throughout the season. But it will be challenging, as Brian said. We experienced -- we are expecting price pressure in order to keep our relevance in the market. And that would certainly work against the ARPU and against the quality of our business. And we're focused on delivering on BlackBerry 10, but we're also focused on staying relevant with BlackBerry 7, and that's what we're working on. Brian?
Brian Bidulka: Yes. And Mark, a couple of other points. You just mentioned about the sell-in and sell-through. So I did mention that the delta has been coming down lately between our sell-in and sell-through. We continue to see that and just given what the replenishment rates are. And in terms of our cash balance, I had mentioned that we're forecasting that to be stable. But that's dependent upon the -- any of the core restructuring activities that we have underway and the timing of those.
Operator: Your next question will be from the line of Jim Suva of Citi.
Jim Suva - Citigroup Inc, Research Division: Thorsten and Brian, can you just comment a little bit on the net adds by region? Like were there specific region that really helped that net adds to grow? I think it was much stronger than everyone expected. And is there the risk that some deactivations just simply haven't entered into the equation yet given contracts with the carriers?
Thorsten Gerhard Heins: No, actually, that's not the case because this is pretty much a rolling system quarter-over-quarter, right? So we know basically how these transitions work. No, the strength actually is attributed to BBM, right? I mean, BBM is really stronger taking off in other markets. I told you, I was on this global world tour, and I will continue to go far East in 2 weeks from now -- in a week from now. And it's amazing when you go into those countries and you see how BBM is just kicking it, right? I mean, it's everywhere. So as a strong value proposition on BlackBerry 7 with BBM, the compression that BBM still provides on those 2G or 3G networks, right, and the associated less roaming cost for the BlackBerry user. So it's a very, very strong package. So the growth comes very much out of those regions like South Africa, Asia Pac, Indonesia specific. And you see a lot of uptick in the Philippines right now. And this is real new customers that we're signing up. And that's not of a churn math here, right?
Operator: And your next question will come from the line of Richard Tse of Cormark Securities.
Richard Tse - Cormark Securities Inc., Research Division: Yes, just got 2 questions, one for Thorsten. In regards to form factors for BB10, what do you think is sort of the right number for you going into next year? And secondly, for Brian, it seems like you're adding some intangibles still to the balance sheet. Can you give some color as to what that's around in terms of the assets you're buying?
Thorsten Gerhard Heins: So to the first one, Richard, form factor, good question. We have actually really streamlined our portfolio in BlackBerry 10. We want to be really expressive in what we are doing. So that's why we are launching a full-touch device and a QWERTY. And you can imagine and foresee that these are the form factors we are going to work with in the foreseeable future. And we will segment them accordingly. So whatever the math is, is a substantial reduction in our portfolio size. I think it's fair to say we're pruning the tree, and we're getting back to the real, meaningful form factors for our audience that we learned when we talked to our customers. And that is a full touch device for BYOD. We touched on this in the other question and that is a -- just unmatched QWERTY physical typing experience on a QWERTY device. And this is what we will carry in our portfolio.
Brian Bidulka: And Richard, on the intangible asset purchase question, it's related to ongoing prepaid license agreement funding.
Operator: Your final question today comes from the line of Mark Sue of RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC, Research Division: Thorsten, the increasingly consumers seem to have made up their minds even before they walk into a store. How do you reverse that trend before BlackBerry 10 launches? And convincing customers often requires a lot of promotional activity. So who will pay for your major global launch? Will carriers be able to chip in as well?
Thorsten Gerhard Heins: That is an extremely good point, and the global marketing campaign is a launch campaign that Frank has worked on. Actually, we considered that -- I don't want to go too much into detail here because I don't want to disclose how we're going to do this. But yes, I think you're making a very good point. We have to educate and get our customers up to speed, actually prior to launch, and we have certain actions in place of how we will be doing this. But also make no mistake, as I talk about the other market, BlackBerry 7 still is a competitive smartphone. We should not forget that with BlackBerry 10, we are launching a new mobile computing platform and its first expression is smartphone. With BB7, that's a dedicated smartphone OS, and it's still a good OS and it's good hardware and good software. So I think we can go through this transition. We will see some pressures on Q3, as we've said. But we feel confident we can manage through that.
Paul Carpino: Thank you, Luke, and thank you everyone, for joining us on our call today. Appreciate it.
Thorsten Gerhard Heins: Thank you.
Operator: And thank you. Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation, and you may now disconnect your lines.